Operator: Good day, and thank you for standing by. Welcome to the Nasdaq First Quarter 2022 Results Conference Call. After the presentation, there will be a question-and-answer session. [Operator Instructions]. I'd now like to hand the conference over to Ed Ditmire, Senior Vice President of Investor Relations. Please go ahead.
Edward Ditmire: Good morning, everyone, and thank you for joining us today to discuss Nasdaq's first quarter 2022 financial results. On the line are Adena Friedman, our CEO; Ann Dennison, our CFO; John Zecca, our Chief Legal Risk and Regulatory Officer; and other members of the management team. After prepared remarks, we'll open up the line to Q&A. . The press release and presentation are on our website, and we intend to use the website as a means of disclosing material, nonpublic information and complying with disclosure obligations under SEC regulation update. I'd like to remind you that certain statements in this presentation and during Q&A may relate to future events and expectations and as such, constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from these projections, and information concerning factors that could cause actual results to differ from forward-looking statements is contained in our press release and periodic reports filed with the SEC.  I'll now turn the call over to Adena.
Adena Friedman: Thank you, Ed, and good morning, everyone, and thank you for joining us. I'd like to begin my remarks today by addressing the current market landscape.  As I've noted in past calls, the Nasdaq team has become familiar with how unpredictable today's operating environment can be. The first quarter of 2022 was certainly no different, given the dynamic geopolitical and economic factors we experienced during the period. As I've noted in prior public comments, the war in Ukraine is a terrible tragedy, and we stand with the greater business community urgently calling for peace. Nasdaq has a proud and long-standing position in Europe, which includes 7 markets we operate across the Nordic and Baltic countries, specifically Denmark, Estonia, Finland, Iceland, Latvia, Lithuania and Sweden. We've been extremely diligent in monitoring the threat environment in Europe and across our global operations to protect our employees and to ensure the resiliency of our markets and client solutions.  Our revenue exposure to Russian clients was de minimis, and we remain committed to ensuring full compliance with all relevant sanctions. In addition, our global workforce is highly engaged in humanitarian and philanthropic efforts to support the needs of those impacted by the senseless war. It fills me with immense pride to see the outpouring of support across our employee base.  Regarding the backdrop we are operating against, our corporate clients and our investor clients are navigating through a very dynamic environment, where strong economic growth has been accompanied with significant inflation, continued supply chain and labor shortage challenges and increasing geopolitical impacts. This environment creates volatility in markets, which tends to be a volume driver, and we have continued to experience strong volumes across our U.S. and European markets. It also creates an uncertain landscape for investors to navigate, resulting in a slowdown in capital raising activities, including IPOs.  And depending on the way the markets are moving, it creates interesting dynamics for our index business. This quarter, the drop in market cap was offset partially by inflows into our index products and strong index futures volumes.  Looking beyond the direct market impacts, because we offer solutions that help our clients navigate through these uncertain times, it's actually increased our client engagement in 3 key areas where we have secular growth. Our bank clients are managing increasingly complex geopolitical risks, which results in strong demand for advanced anti-financial crime solutions, which we offer with Verafin.  Asset owners, including pensions, sovereign wealth funds and endowments, are making quick asset allocation changes and must manage their portfolios very carefully, which increases their reliance on our eVestment and Solovis offerings. On the corporate side, our clients are navigating through a dynamic ESG environment, which drives demand for our ESG advisory and reporting solutions.  Overall, our diversified business model gives us the means to be able to manage successfully in this environment recognizing, of course, that there are a lot of different forces at play. And in that context, let me briefly address the inflation-related pressures, which are certainly factors we are navigating as is the broader corporate community.  On the revenue side, we are fortunate to benefit from a highly diversified revenue mix based on providing mission-critical solutions that support our clients and the broader financial system around the world. We take a long-term approach to value creation for our shareholders in the context of serving our clients, and we will continue to manage that balance thoughtfully.  In addition, we are actively managing the evolution of inflationary pressures across our expense base. Our current expense guidance reflects the near-term actions we have taken to address the challenges of recruiting and retaining a highly skilled team in today's economy, and we'll continue to monitor the situation over time.  Our team's focus on secular opportunities to drive organic growth as well as our business model's reliance on recurring revenue components has enabled Nasdaq to continue our track record of growth as we execute against our longer-term objectives. The record net revenue we achieved in the quarter against this very dynamic backdrop illustrates the strength of Nasdaq's business model.  Next, I'd like to take a brief moment to thank 2 of our senior leaders for their years of impactful contributions to Nasdaq following the announcements that they will be moving on to new chapters in their lives. First, I want to congratulate Lars Ottersgard for his 16 years of leading our Market Technology business. During his tenure, he led a dramatic expansion in the capabilities and client network for the business and helped advance our ongoing transition to a more scalable SaaS-focused orientation.  I also want to thank Lauren Dillard, who in her 3 years at Nasdaq delivered tremendous impact in strategically repositioning the Investment Intelligence business that now features a majority of revenue contribution from higher growth index and analytics products. We're incredibly excited about the strong successors we announced during the quarter for the market technology and Investment and Intelligence segments.  Specifically, Jamie King, who joined us from Verafin, will lead the anti-financial crime technology business. Roland Chai, who joined in Nasdaq in 2020, will lead the market infrastructure technology business. Those 2 businesses will continue to roll out to form the Market Technology segment. Oliver Albers, a long-standing Nasdaq executive will lead our Investment Intelligence segment. All 3 are respected leaders in their fields with deep industry expertise and a proven track record of success. Let's now turn to our results.  I'm very pleased to report Nasdaq's strong financial performance for the first quarter of 2022. We achieved a record $892 million in net revenues, a 5% increase compared to what was itself a very strong prior year period when the company previously set a quarterly record on trading revenues. Our total annualized recurring revenue, or ARR, increased 9% to $1.91 billion. Annualized SaaS revenues totaled $655 million in the first quarter of 2022, representing 34% of our total company ARR, reflecting particularly strong growth in our anti-financial crime and investment analytics businesses.  Our recurring revenues and their consistent growth provide a powerful starting point for our overall performance, but we also delivered strong results across both index licensing and trading revenues. This solid start to the year positions us well to address the geopolitical and economic uncertainties that may persist as we move forward in 2022.  Turning next to specific highlights from our business segments. Our Solutions segment businesses delivered combined total revenue of $576 million in the first quarter, a 15% increase from the prior year period, driven from several of our businesses, including our anti-financial crime offerings, our index and investment analytics offerings; the expansion of our listed issuer base as well as strong demand for our IR and ESG services. Excluding FX and the partial quarter impact of the Verafin acquisition, we achieved organic growth of 13% across our solutions segments.  In our Investment Intelligence segment, we delivered $284 million in total net revenue in the first quarter, an 11% increase from the prior year period, with contributions across the business during the quarter. Revenue in our market data business grew by 2% versus the prior year period. Our strategy for geographic expansion, particularly in the APAC region, remains strong.  In our Index business, we saw revenue growth of $20 million or 20% versus the prior year period, driven principally by growth in ETP assets, which saw positive net flows of $75 billion over the last 12 months, including meaningful inflows during the especially volatile first quarter itself. We launched 55 ETFs tracking Nasdaq indexes over the last 12 months, which in turn accumulated $2.5 billion in assets through the end of the quarter.  Notable launches outside the U.S. include the Mara Philex Semiconductor Index ETP and the Samsung Nasdaq 100 ETP. In addition, we created and launched the first index representing the pricing of carbon removal credits during the first quarter based on our activity on our Puro Earth carbon removal marketplace.  Moving from the asset-based index revenues to transactional, the volumes of Nasdaq licensed index futures were particularly strong with a record of over 147 million future contracts tied to the Nasdaq 100 traded in the quarter. And in our Investment Analytics business, revenues grew 13% from the prior year period driven by the sequential impact of strong sales across asset owners, asset managers and private markets throughout 2021.  We are excited about the appointment of Oliver Albers to the Executive Vice President of Investment Intelligence. As a 20-plus year veteran of Nasdaq, Oliver is an experienced, results-oriented leader, who is instrumental in supporting Lauren in strategically repositioning Nasdaq's Investment Intelligence segment into the higher growth, more technology-enabled business you see today.  Turning next to our Market Technology segment. We delivered $124 million in total net revenues in the first quarter, a 24% increase from the prior year period. This is primarily driven by the inclusion of revenues from Verafin in our results year-over-year and more broadly, continued organic growth in the broader anti-financial crime technology business.  Our anti-financial crime technology business had a very strong first quarter, achieving 71% increase in revenues versus the prior year period, partially driven by the partial quarter inclusion of Verafin in the prior year period, the phasing out of revenue write-down associated with the acquisition as well as by strong organic growth with the majority of that coming from the fraud and anti-money laundering, which we call FRAML Solutions.  The growth was driven by both new sales and expanded relationships within our existing client base. We have made meaningful progress in the last 12 months on our objective of helping Verafin expand its client franchise into larger Tier 1 and Tier 2 banks as well as to innovative fintech companies, all of which account for half of the industry spend.  Since we closed on the acquisition, we have signed 10 new fintech clients and 2 new Tier 1 and Tier 2 banks with several ports of concepts currently underway at major Tier 1 banks. We also launched our first digital assets module for traditional banks and virtual asset service providers, or otherwise known as VAS, including crypto exchanges to detect and investigate fraud and money laundering within digital wallets and in transactions between traditional fiat and digital currencies.  We are committed to supporting the financial ecosystem through its digital transformation by innovating quickly to deliver digital-ready versions of our advanced crime fighting solutions. And as a recent example, we responded quickly to the Russian invasion of Ukraine by expanding our sanctions product to include new sanctions agents for our bank clients.  Verafin is meeting the high expectations we set at the time of the acquisition, while at the same time, the broader Nasdaq team is learning from Verafin in important ways. Their operational expertise as an all SaaS provider is invaluable to us as we build upon and improve our effectiveness in offering our expanded suite of other SaaS offerings.  By bringing together all of Nasdaq's anti-financial crime solutions, including Verafin and our market and trade surveillance solutions under Jamie King, the CEO and Co-Founder of Verafin, we have an incredible opportunity to maximize those cross-product synergies. We're excited to have Jamie as the new Executive Vice President of Nasdaq's ASC business as he leads the future of Nasdaq's high-impact, high-growth solutions that focus on fighting crime and ensuring the integrity of the financial industry.  Within our market infrastructure technology business, the first quarter results continue to reflect the revenue headwinds that we have communicated to investors over the past 2 years since COVID began. As we discussed on prior calls, these headwinds have stemmed from factors that include logistical challenges the pandemic presented to sales, installation and change request work that often occurred on site, as well as some specific client delivery challenges in the post-trade space.  We are pleased that 2 of our post-trade clients successfully went live in the beginning of the second quarter with the first phase of their implementations, and we continue to make good progress in all of our major implementation projects. As I said last quarter, as we reengage in person with our clients, we're starting to see these revenue headwinds recede. With the healthy order intake trends in both 2021 and early 2022, we entered 2022 with an opportunity to improve the organic growth of our market infrastructure solutions as we progress through the year and into 2023.  We have appointed Roland Chi as the new Executive Vice President and leader of our Market Infrastructure Technology business. Roland has been serving as our Chief Risk Officer. And just as importantly, he spent more than a decade leading key technology product areas at several of the world's leading exchange businesses and was, in fact, the customer himself of Nasdaq's marketplace technology. Roland has very specific mandates to strengthen, deepen and progress our client relationships and to continue to innovate across our product suite. I'm excited about this transition as it comes at a time when Nasdaq has never had more to offer to our technology clients, including our next-generation, cloud-native trade life cycle solutions, a newly built cloud-based trading risk management solution and as well as solutions to meet the needs of digital asset marketplaces.  Moving to our foundational marketplace businesses. Our Market Services segment delivered net revenues of $315 million during the first quarter, its second highest quarter ever, second only to Q1 2021. Our market share in U.S. equity saw year-over-year and sequential quarterly improvement, which resulted from an industry uptick in on-exchange trading as well as early success increasing the demand for some of our unique functionalities.  Equity derivatives set a new quarterly net revenue high, up 6%, maintaining our market share in U.S. options in a very busy period while realizing improved capture. Our U.S. options business saw average daily number of contracts traded of $12.8 million during the first quarter and led exchanges with a 32% market share.  And in our Nordic and Baltic markets, equities markets saw robust volumes during the period, with the value of shares traded setting a decade high of EUR 289 billion.  Finally, our Corporate Platform segment delivered record net revenue of $168 million in the first quarter, a 15% increase from the prior year period, driven primarily by our continued leadership in new listings across our U.S. and European markets as well as growth in demand for our IR and ESG services. We saw particularly strong growth in Nasdaq IR Insight and IR advisory offerings as well as across our Government Solutions suite, including our Board meeting management and advisory offerings and Nasdaq One Report, our ESG reporting workflow solution.  Despite the slower start to the year for IPOs, Nasdaq continued its competitive leadership in attracting 70 total listings in the U.S. during the quarter, raising $9 billion for an 86% win rate. we listed 100% of all operating company IPOs during the quarter and 80% of stack listings.  In Europe, our Nordic, Baltic and First North exchanges welcomed 19 new listings. As I wrap up, I will summarize by saying that our first quarter results demonstrate how Nasdaq's performance-driven culture and diversified business model enables the company to perform well in different data-driven environments. As a result, we will continue to make focused investments in our businesses to support sustainable growth and expansion of our impact to the financial industry, while also positioning us well as we work towards our medium-term goals.  We remain relentlessly focused on advancing our strategy, and we believe that Nasdaq is well positioned to address the geopolitical and economic uncertainties that may persist as we move forward in 2022.  With that, I'll now turn the call over to Ann to review the financial details.
Ann Dennison: Thank you, Adena, and good morning, everyone. My commentary will primarily focus on our non-GAAP results and all comparisons will be to the prior year period unless otherwise noted.  Reconciliations of U.S. GAAP to non-GAAP results can be found in our press release as well as in a file located in the Financials section of our Investor Relations website at ir.nasdaq.com. I will start by reviewing first quarter 2022 performance beginning on Slide 11 of the presentation.  The 5% increase in reported net revenue of $892 million is the net result of organic growth of 6%, including a 13% organic increase in the Solutions segment, partially offset by a 4% organic decrease in Market Services compared to a record net revenue high in the first quarter of 2021, and the contribution from Verafin as well as impact from divestitures, partially offset by the negative impact from changes in FX rates.  Moving to operating profit and margins. Non-GAAP operating income increased 1%, while the non-GAAP operating margin of 52% decreased 2 percentage points compared to the prior year period. Non-GAAP net income attributable to Nasdaq was $329 million or $1.97 per diluted share, compared to $327 million or $1.96 per diluted share in the prior year period.  Turning to Slide 12. As Adena mentioned earlier, ARR totaled $1.19 billion, an increase of 9% from the prior year period, while annualized SaaS revenues totaled $655 million, an increase of 12%. I will now review quarterly segment results on Slides 13 through 16.  Starting with Market Technology, revenue increased $24 million or 24%. The increase primarily reflects a positive $18 million impact from the acquisition of Verafin, which occurred near the middle of the first quarter of 2021, and $9 million in organic revenue growth, led by our anti-financial crime technology business.  ARR for Market Technology totaled $435 million, an increase of 5% compared to the prior year period. The Market Technology segment operating margin was 3% in the period, well below our objectives. Focusing on the Market Infrastructure Technology business, results continue to reflect the headwinds from logistical challenges the pandemic presented as well as some specific client delivery challenges in the post-trade space.  Investment Intelligence revenue increased $28 million or 11%, reflecting organic revenue growth of $30 million. Organic revenue growth during the period primarily reflects strong growth in our index and analytics businesses as well as a positive contribution from Market Data.  ARR was $570 million, an increase of 5% compared to the prior year period. AUM ETPs licensed to Nasdaq indices increased 4% compared to the prior year period to $401 million. The Investment Intelligence segment operating margin of 65% is unchanged from the prior year period.  Corporate Platforms revenues increased $22 million or 15%, including 17% organic growth. The increase was primarily driven by higher U.S. listings revenues due to the 17% expansion in our listed U.S. corporate issuer base as well as higher adoption across the breadth of Investor Relations, and newer ESG advisory and reporting offerings.  Corporate Platforms ARR was $576 million and increased 18% compared to the prior year period. The Corporate Platform segment operating margin of 45% increased 5 percentage points compared to the prior year period and was primarily driven by growth in the listed issuer base. Market Services net revenues decreased $19 million or 6%. The organic revenue decrease was $13 million or 4%, and there was a $6 million negative impact from changes in FX rates.  The organic decrease primarily reflects lower U.S. equities industry trading volumes compared to the record first quarter 2021 period as well as lower capture in U.S. equities. The segment operating margin of 63% decreased 5 percentage points compared to the very strong prior year period given the lower trading net revenues and the impact of higher professional fees.  Turning to Page 17 to review both expenses and guidance. Non-GAAP operating expenses increased $35 million to $428 million. The increase reflects a $36 million or 9% organic increase and a $9 million increase from the net impact of acquisitions and divestitures, partially offset by a $10 million decrease from the impact of changes in FX rates.  The organic expense increase is driven by higher compensation and benefits expense, reflecting our continued investment in new employees to drive growth. Inflationary pressures on compensation and performance-linked compensation, which continues to reflect the very strong growth across our solutions segment.  We intend to continue investing thoughtfully to maximize the benefits of our expanded customer base and the increasing breadth of capabilities we have developed to expand each relationship. We are revising our 2022 non-GAAP operating expense guidance to a range of $1.7 billion to $1.76 billion, essentially lifting the bottom end of the existing range a bit to account for the very strong organic growth in the Solutions segment businesses to start the year.  Turning to Slide 19. Debt increased by $68 million versus 4Q '21, primarily due to issuance -- the issuance of $550 million of new 3.95% senior unsecured notes due March 2052, partially offset by a net payment of $420 million of commercial paper and a $55 million decrease in eurobond book values caused by a weaker euro.  Our total debt to trailing 12 months non-GAAP EBITDA ratio ended the period at 3.1x, unchanged from the fourth quarter of 2021. In April, we used proceeds from the notes offering completed in the first quarter to retire $500 million of bonds maturing in June of 2024. Now let me take a moment to update you on the dividend stock repurchases and our intention to split our stock.  During the first quarter of '22, the company repurchased $467 million in shares, including $325 million related to the previously disclosed accelerated share repurchase program discussed on the 4Q call. Additionally, we are announcing today an 11% increase in the dividend to $0.60 per share.  The company has also began the process of obtaining certain shareholder and SEC approvals to facilitate a 3-for-1 stock split in the form of a stock dividend. If such approvals are received, we expect the split to be completed in the third quarter of 2022.  In closing, Nasdaq's first quarter results reflect a continuation of the company's ability to consistently perform well across a wide range of operating environments. We delivered record quarterly revenues, 13% organic revenue growth in the Solutions segment and a 52% non-GAAP operating margin, what we see as an incredibly strong start to 2022 that we can build upon moving forward.  So thank you for your time, and I'll turn it back over to the operator for Q&A.
Operator: [Operator Instructions]. Our first question comes from Rich Repetto with Piper Sandler.
Richard Repetto: On market technology, you get some great growth in the anti-financial crime segment. So I guess the question is can you update us on how the new environment with sanctions, et cetera. Could that be a tailwind? And then staying within the segment, you had market infrastructure technology falloff. And I understand the headwind from the one single project. But even quarter-to-quarter, it fell off. So could you give us an update? I know you mentioned the pandemic-related impacts. But quarter-to-quarter, it seemed like it went $59 million to $52 million as well.
Adena Friedman: Sure. Yes. Why don't I actually start with that and then we'll talk about anti-fincrime. So quarter-over-quarter, the fourth quarter is a seasonally high quarter for us, pretty much every year in market infrastructure technology just because we tend to have a lot of, what we call, change requests and other projects that we try to conclude during the quarter. Which then allows us to recognize the revenue in that quarter. And so that tends to be just a seasonally high quarter for us. So that's a general trend.  But in general, but if I look at the market infrastructure technology business more generally, Rich, I think that as you mentioned, we still are facing the impacts of the pandemic just in terms of the level of client engagement we could have with our clients during 2020 and part of 2021.  We did -- I think we are starting to show a recovery in order intakes in the level of engagement we have with our clients. We're back on the road. Roland has been traveling the world visiting our clients again, as has our sales and service teams. So I feel like we really are getting back to a more normal level of engagement.  We're also making good progress on those post-trade implementations. As I mentioned in April, we've had 2 of our clients go live with first phases of that. So that helps also in terms of us getting past those projects, being able to deploy some of those people to other projects, but also just continuing the progress on those big implementations across the franchise. So we feel like we're getting ourselves back into a more normal cadence but it will take time for us to show that through the revenue line.  And I think this quarter kind of reflects that. With regard to the anti-fincrime business, as you mentioned, the sanctions and other just general risks that the financial system has right now, I think, is definitely driving up an interest in making sure that companies have the most advanced solutions for anti-fin crime, that I think it is driving some of the interest that we have from the largest banks, and that's why we've launched a couple of proofs of concepts with some banks and we have others right in the very near-term pipeline for that so that they can start to understand how we can help them solve their problems with, I think, in a more advanced way.  And then the sanctions, that capability, what our -- what the team does is amazing. They have a weekly release cycle. So when the sanctions hit, they were quickly able to update and upgrade the sanction module that we've had in the product for a while to really reflect the newest sanctions, and they're rolling that out to the clients right now. So hopefully, that helps give the color that you're looking for.
Richard Repetto: Yes, it's very helpful. And Adena, just to follow up. I caught on CNBC, you talked a little bit about the listings pipeline. I didn't catch it all, but could you give us -- I know IPOs have slowed, but it seems like you do have a backlog here, I guess.
Adena Friedman: Yes. We definitely have a backlog. I think that right now, there are -- if we look just in the SEC filings, we track the S-1 filings. And right now, there are 270 active S-1 filings that have -- that are on file to go to Nasdaq. I think that that's versus 222 filings at the same time last year. So the number of companies that are looking to go out into the public markets remains really strong. We have great engagement with some really interesting and large-cap IPO opportunities.  But they need to feel that the environment is the right environment to go public and that investors are ready to take new risks on new issuers. And I think that's where, right now, they're just tracking that. I think that the markets are volatile, and it makes it harder for investors to predict the future, which makes it harder for them to take those risks.  But we are hopeful that we might see a couple of bear listings come out later in this quarter, but we'll have to see how the markets -- kind of how the markets behave and whether or not it's an inviting environment for them.
Operator: Our next question comes from Craig Siegenthaler with Bank of America
Craig Siegenthaler: Hope you're all doing well.
Adena Friedman: How are you, Craig?
Craig Siegenthaler: I am good. So I had a follow-up to Rich's question on market infrastructure technology. When do you expect the logistical headwinds to fade? And then what type of acceleration revenues could you experience as more clients go live following more normalization in the working environment and understand that the sales cycles can be longer in this business and contract wins can be lumpy, too.
Adena Friedman: Yes. So we're not providing you any sort of a specific outlook or guidance on how we see things proceed. But I would say that what we are feeling more optimistic around is the fact that we are getting through the really big push that we've had on some of these big post-trade implementations, which then, of course, allows us and gives us more confidence to sign new clients, to continue to -- in the post-trade area. And there is -- continues to be a lot of demand from exchanges who want to upgrade and modernize their poster infrastructure, and we now have modern solutions that can really help them.  So I think that's good that we're getting past some of those key implementations. Now we -- those are Phase I. So we still have Phase 2 to implement with some of our clients. But I also would say that it does still allow us to really work on making sure that we build that pipeline for the next group of clients who are going to be moving into the new -- their new clearing and post-trade solutions. But I think that that's, as you said, it takes time, though, because these projects are multiyear projects. They take a long time to get in place. And once you get into implementation and you can start to -- you get a change in how we recognize the license revenue, we go into service and maintenance revenues, and that tends to have a different margin profile, I think that we can -- we feel good that we can start to show that progress in -- as we get later into '22 and into '23. But I just want to say these cycles are long and these projects are important, and we have to make sure that we continue to deliver on them. Hopefully, that helps you.
Craig Siegenthaler: Very helpful. For my follow-up, it was nice to see the 40% year-on-year increase in futures and options contracts on the Nasdaq indexes. Can you quantify what this equates to for revenues within index? And also how we should think about this growth trajectory as more investors trade options based on Nasdaq indexes and maybe also a refresher in terms of how the accelerator math works.
Adena Friedman: Yes. So I'll let Ann answer the first question, and then I'll go into the longer-term trends.
Ann Dennison: Sure. So Craig, on your question about how much. So we don't give specificity at that level. But what I can say is if you look at the index business holistically, about 2/3 of that is asset based and the other 1/3 is the futures, plus some index data.  And just on your question related to the accelerator. So I think we've talked about this coming out of the fourth quarter. In our contract, we have an accelerator that kicks in when we hit certain levels during the year. For the past 2 years, that's happened sort of midyear, end of June-ish. And so we did see a drop. And I think the number we shared coming out of fourth quarter was in reduction related to the accelerator coming off in the first quarter. And then assuming volumes stay at the same level as they were last year, we'd see that sort of pop up towards the middle of the year.
Adena Friedman: Yes. And in terms of the options, the Nasdaq 100 Index options revenues, it's a great question, Craig, because that's an area that our market services business is really working to build.  And we have a great relationship with the small start-up that we have an investment in called Volos that's really helping institutional investors understand how to leg into index options or Nasdaq 100 index options as part of their hedging and their investment strategies. And I think that that's helping build adoption as well.  And so I think that we see that as a really nice growth area for us in the Market Services business. But we're still early in really building up that ecosystem, and we have a lot of opportunity in front of us there.
Operator: Our next question comes from Owen Lau with Oppenheimer.
Owen Lau: So the IR and IR and ESG revenue continues to grind a little bit higher. Could you please give us an update on your ESG initiatives, maybe including some investable products and ESG reporting?
Adena Friedman: Sure. Yes. I think that it really does just reflect good demand. Well, there's 2 things actually: Retention and demand. So I think that the corporate platforms team has done a really nice job of continuing to bring our client retention up year-over-year, which then, of course, allows the team to really focus on sales, which drives growth. . I think the reason that we have the retention we have is certainly product enhancements and capabilities we continue to really invest in those products so that they are truly best-in-class for our customers. I think the second is just that the political environment or I should say, the geopolitical environment, the investment environment, the overall economic environment makes it so that you've got a lot of changes in the engagement with investors and with your Board, there's obviously a lot of interest on the ESG front, and I think that that's an area that's maturing.  But still, corporates are really navigating that and trying to figure out how best to communicate to investors. And our team does a really nice job not only of providing really great software solutions, but also advisory capabilities to help them figure all of that out. And I think that because of the kind of the combination of the advisory team with the SaaS tools is what's really driving a lot of great demand there.  And we feel good about it. I would also just point out, we have 13% more operating companies listed on Nasdaq today than we had a year ago. And we do offer, as part of our IPO package, some of those services, kind of what we call a starter kit for those services. Those packages kind of roll off after 3 years. But also there are additional services we offer for a fee. And I think our clients are realizing that we have a lot that we can do with them to help them navigate through this really unusual environment, and that's also what's driving demand.
Owen Lau: Got it. And then on crypto, could you please give us an update on your offerings? I think previously, you mentioned there were some crypto clients using your exchange and surveillance solutions. I'm just wondering if you can give us more update on that.
Adena Friedman: Yes, sure. So you're right. So we have I think it's somewhere in the range of about a dozen crypto exchanges that leverage our technology for trading and then for surveillance. And then we also, as I mentioned, the anti-financial crime team has built a module that's specific to digital assets to help both traditional banks and Bats really help manage their anti-fincrime efforts.  So we're excited that we're rolling that out in the second quarter. And then also we have our crypto index products that we've launched. And so we continue to find ways to engage, Owen, in the crypto space. And we're continuing to watch that space in general, like how it's evolving, how it's maturing, how much institutional interest is coming in to understand how we can continue to expand our offerings over time.
Operator: Our next question comes from Alex Kramm with UBS.
Alexander Kramm: I want to ask a question about trading for one. I guess you're joining a lot of other companies with the announced stock split today. But there's a lot of other Nasdaq-listed companies that are much bigger in terms of trading volumes that have also announced splitting. So I guess this is a no-brainer question. But obviously, I would assume that helps your Nasdaq-listed volumes on the equity side. So maybe you can just talk to that.  But then more importantly, I would be interested in your view on what this means for options volumes. I guess lower share price probably means more contracts traded. But I think there's also this narrative that people have been using options to get into higher-priced stocks in a cheaper way. So just wondering if you've done any work on what stock split from that magnitude could mean on both equities and options.
Adena Friedman: Yes. Thanks, Alex. Yes. So you are correct that with the stock splits that are happening, I think, first of all, we should probably just say there is true market structure benefits to having a stock price that allows investors, more investors to own your shares directly because that tends to bring more investors into your stock. It tends to bring more trading on to exchange as opposed to through these fractional share offerings that are all off exchange. And that the idea there is that it should drive a tighter spread, and we have a lot of evidence that our economic research department has done around that, which I think helps investors and it helps companies.  So we see it as a net positive. But you're also correct that in the U.S., not in Europe, but in the U.S., we do get paid on shares traded. So if large listings do significant splits, it does increase the shares that are traded in those stocks. But there is a partial countervailing force with options. So you also are correct that we are seeing retail investors would lag in the option in really high-priced stocks and as a way to kind of demonstrate an interest in the stock without having to pay a lot of money for each share.  So there is some offset there in the options market, but we would say that, generally speaking, it's a net positive to see the increase in the share price, the better market structure versus the slight downtick that you might see in some options volumes.
Alexander Kramm: Okay. Helpful. Secondly, on Verafin and financial crime. I think you talked about those businesses being strong organically. Can you give us some specific numbers, either how Verafin did or how financial crime in total did organically year-over-year, still at 20%, 30% growth rates, I think that we've seen or where you're tracking?
Adena Friedman: Yes. So thanks. Yes, I think we'll talk about the ASC level because that's what we report today, but I'm going to let Ann cover that one.
Ann Dennison: Sure. So when we look at -- you look at AFC in total, that includes both Verafin and our trade and market surveillance businesses, the organic growth there was 31%. If you sort of adjust that for the deferred revenue write-down, the organic growth versus last year first quarter was 17%. So it's a very healthy combined numbers in that business.
Adena Friedman: Yes. And I think one other just point of color to add on Verafin specifically is I think when we went into the acquisition, we indicated that we thought we could generate in the range of $140 million in 2021 for that business. And we exited the year a little above that, quite close to $150 million, which kind of brought us into and they continue to have really strong revenue growth, but it kind of brought us into this year at a nice position.
Operator: Our next question comes from Dan Fannon with Jefferies.
Daniel Fannon: One follow-up on trading. Capture rates moved around a fair amount this quarter, particularly within equities. I know that's hard to predict in terms of forecast. But thinking about the current mix of business today, any pricing changes that may or may not have happened. How should we think about some of the capture rates into your biggest asset classes for this year?
Adena Friedman: Sure. Yes. So on equities in the U.S., I think there are 2 forces at play there. One is just a change in the mix of trading. So we had more retail trading last year first quarter, more institutional trading this year first quarter, and that drives just the different behaviors in the markets.  I mean that, I think, has actually resulted in more intraday volumes, which then has just a lower capture rate to it. So that's one component, just the mix of trading.  The second is, though, that we have been focused in on trying to drive volumes into the markets in certain ways. We do, as you know, it's like a monthly activity for us to look at pricing and how we use pricing to drive volumes. And so we did some programs at the beginning of the quarter that are, as I mentioned before, to increase participation in certain parts of our market functionalities. And I think that that's also showing up in terms of some incentives we put in to bring up our share, which has started to show some -- bear some fruit as well.  In options, on the other hand, -- you saw -- I think we've mentioned in the fourth quarter, we have this payment we make to OCC. And I think you go at the end of the year, they have a fee holiday, which then drives down what our stated capture was in Q4. And then we saw -- we expect it to come up a little bit in Q1, which it did.  And then we also had a little bit more institute, again, more institutional involvement in the options markets less retail and retail tends to come in at a lower price. So our options capture went up a little bit just by that change in mix.
Daniel Fannon: Got it. That's helpful. And then just a question on expenses and the clarification around the change in the guidance, reflecting strong growth across the solutions business. And so I think you've talked about Verafin and some other businesses doing well. But you obviously budget for growth. So I wanted to get specifically which program, which segments are really tracking that far above the budget that would -- that is driving the change in expenses, your guidance this early in the year?
Ann Dennison: So Dan, I think it's fairly straightforward. You can think about it. We talk about our medium-term outlook for the Solutions segment in the aggregate as being at 6% to 9% growth. And so this quarter, collectively, we put up 13% organic growth, so well above that 6% to 9%. And so that's how we think about it.
Adena Friedman: Yes, in terms of -- and so -- and I think also to mention is, as we mentioned before, we're not increasing the top end of the expense guidance range, but we are bringing up the bottom just to show the fact that we are continuing to invest -- and if you look at it, it's actually coming across a lot of different parts of our business. It's in the anti-fincrime space, it's in the corporate platform space and it's in the investment intelligence space. And so those areas are we're doing really well in engaging with clients, and we want to make sure that that's sustainable.  So we're investing in growing our teams and making sure that they're doing the job that they need to do to service our clients -- our growing client base successfully.
Operator: Our next question comes from Alex Blostein with Goldman Sachs.
Alexander Blostein: A question for you around the multi-listed option space. We've seen Nasdaq's market share slip there for the last couple of quarters now, and we've obviously seen some headlines around exchanges, newer exchanges dipping their tail into that marketplace as well.  Look, I think over time, Nasdaq has done a really nice job kind of focusing on revenue and that market share, which is great and kind of keeping the capture rates in place from a revenue perspective. But how are you thinking about, I guess, optimizing this business going forward in light of rising competition? And how important is it to stay in over sort of north of 30-ish percent market share here? So I guess to what extent will pricing competition start to impact that business over the next few quarters and years?
Adena Friedman: Yes. I mean I would say we've been managing through a really dynamic auctions environment for a long time. So I think that there are less for like 13 options exchanges, 14 options exchanges. So having additional options exchanges come in is something that's just part of the ecosystem today.  I think that in terms of how we manage that, as you said, we are really thoughtful about how -- what kind of flow that we think is really optimally attractive to us in terms of the types of markets we have. So we really look at it. We have 6 options exchanges. We can have different types of investors and participants in each of those exchanges. We think about pricing on each of those exchanges individually. And we can basically allow for the most complex options traders to come in through Philex and IC and the most basic retail traders to come in through GMX and MRx and others. So we try really hard, Alex, to make sure that we are balancing what we're trying to achieve with our platforms, what kind of investors we want to have in our platforms and how we serve them the right way. I think that the newer exchanges that are coming in are really competing really on those lower-end platforms that have the lowest capture, but they don't necessarily serve the more complex traders.  I think the last thing I would say is part of the thing we also are focused on is our proprietary product franchise because we do think that we have some really interesting assets that we can bring into our options markets or having our options markets that really do have a different characteristic to them. So in addition to competing really actively, and we always will and we do that quite well, I think that we also are really trying to build up our proprietary product franchise as well.
Operator: Our next question comes from Brian Bedell with Deutsche Bank.
Brian Bedell: Maybe just focus back on anti-financial crime. Now sort of with more sort of a combination of the anti -- the legacy anti-financial crime businesses with Verafin under Jamie, and as you look at those cross-product synergies and also the organic growth that you've talked about with more crypto surveillance on digital wallets and obviously, growth in sanctions of agents monitoring, can you give us a sense for that whole unit?  Obviously, Verafin was growing at 30%. But just for that entire unit combined with the synergies if -- what type of growth outlook would you see in the medium term given sort of the improvement in that since you did the Verafin acquisition. I know when you did it at that time, there was this -- it was a -- that segment was projected to grow at around a 17% rate at least industry-wide. Just getting a sense -- trying to get a sense of whether you think that rate could be moderately faster for Nasdaq over the next 2 to 3 years?
Adena Friedman: Yes. I think that in general, you are -- you've touched a lot on where we see the opportunity, I think, that within the anti-fincrime space. The teams -- after the Verafin acquisition, the teams started to engage right away on how we could leverage all of the client relationships we have with our surveillance business to open doors for Verafin into the larger firms. And I think we're really being successful at doing that. . But now, with the teams more integrated, they've come together, they've had some really interesting strategy sections on how to really optimize the relationships with the clients, how to bring the product market together. Any sort of product integration will take time, right? So that's a multiyear plan.  But in terms of continuing to really build that pipeline of opportunities for us to open doors for Verafin as well as to think about even how do we take to the surveillance product to smaller clients because Verafin has done such a great job there. These are all things that we are excited to work on.  But generally speaking, what all of that means is that we have an overall medium-term outlook for the Market Technology business, which includes market infrastructure technology and anti-fincrime of 13% to 16% growth. And so everything we're doing in the anti-fincrime space really helps support that overall market tech number of the 13% to 16% growth.  If we find that we are having more success or earlier success than we anticipate in some of the work we're doing in anti-fincrime, we'll look at whether or not we would make adjustments there. But right now, I think that that's -- the outlook is consistent with how we see that business developing.
Brian Bedell: Okay. That's fair enough. And then just on timing and maybe you may or may not be able to answer this. But on the infrastructure market side, given all of the headwinds that you talked about and now lapping that contract, do you think you can grow revenue in that segment year-over-year by the third quarter through the fourth quarter?  And then if I can just ask also just on the crypto index licenses that you talked about. Will that revenue be seen in the index licensing part of Investment Intelligence? And is that material yet? Or is that more of a longer-term growth development?
Adena Friedman: Sure. Well, we don't talk about like intra-year outlook any particular business. But I would say that as we have been mentioning that we had that 1 contract roll-off that rolled off in July of last year, so you kind of take that and lap that through the end of June.  I think that we are seeing strong engagement. We've had record order intake last year. We've had a good start to the year from an order intake perspective. And so we do feel like there are good signals that we will have the opportunity to grow that business. But obviously, we don't give intra year outlook or guidance on that.  In terms of the crypto indexes, we actually launched that product, I believe, beginning of 2021, maybe or maybe it was 2020. And it actually, it was an index that's based outside the U.S., and it is generating nice revenue for us, but that's already incorporated into the revenue for the index sector all in. So hopefully, it's not hugely significant. I just want to say that. It's a nice grower, but not in the context of how big that business is today. It's not a huge -- it's not a significant mover.
Operator: [Operator Instructions]. Our next question comes from Michael Cyprys with Morgan Stanley.
Michael Cyprys: I wanted to ask about the AWS partnership. I know you've spoken about that on some of the prior calls. But I was just hoping you might be able to update us there on the migration of the Market Services business over to the cloud. And as you're deploying and moving forward with the AWS partnership, what are some of the key challenges that you're facing and deploying to the cloud? And maybe you could just give us a sense of some of the steps you're taking to overcome any of those sort of challenges and what you're doing to get comfortable there?
Adena Friedman: Sure. Yes. Hey, Michael. So thanks for asking about that because we didn't mention that in the script. But it's moving along quite well. I think that we are heavily engaged with AWS. They're deploying their outpost solution into our data center. And on May 3, I think it is, that we're going to have our groundbreaking at Carteret because we're with Equinix and our partners there because we are breaking ground to expand that data center. That data center expansion will be done in 2024, which then allows us to offer more capabilities to our clients, expand the AWS presence and make it so that we can continue to really create that private local zone that is available to our ecosystem of market participants and investment clients beyond what we do today.  But that's -- it's going to take a couple of years for that to come online. But in the meantime, we are -- AWS is deeply engaged with our engineering team, our infrastructure team and our development team to make sure that we are on track with our MRx migration.  And as we mentioned, our goal is to have MRx, which is one of our options exchanges, migrate over to the Outpost implementation and on to our new Fusion platform before the end of this year. And so we're on track with that. There aren't any major challenges that I think that are impeding our progress at all. We're learning as we go for sure, but it's been a spectacular partnership so far.
Operator: Our next question comes from Kyle Voigt with KBW.
Kyle Voigt: Just wondering if you could tell us if you make any fee changes in the listings business or other notable changes across your other nontransaction businesses to start 2022 and if inflation continues to run at elevated levels, I'm just wondering if you consider adjusting price more than you have historically in the form of CPI adjustments or other pricing adjustments.
Adena Friedman: Yes. So we -- every year, we -- or in the last few, we do this now on an annual basis, we provide a small change to our listing fees to reflect the continued investment we're making in that business. And so that -- and we did that as we have in prior years. So there was no difference there.  I think that -- I think in general, though, we have done some work to understand the inflationary environment, the way that we engage with our clients on pricing. In some cases, we do have annual CPI adjustments to our products. In other cases, we don't have to have the same flexibility, but we look at the value we're providing to our clients over time or upon contract renewal. And so we are certainly being proactive in evaluating that.  But as I mentioned in my remarks, we do take a long-term approach to our clients so that we can sustain them as clients, grow them as clients over the long term and that then, of course, accrues to the benefit of the shareholders over the long term.
Operator: Our next question comes from Gautam Sawant with Credit Suisse.
Gautam Sawant: During the quarter, an engagement in Brazil was announced to launch a carbon credit and sustainable assets exchange. What other opportunities are available internationally? And what types of exchanges are they looking to launch?
Adena Friedman: Yes. So that was actually a technology agreement that we signed with the client in Brazil. So we actually have a carbon removal marketplace that we have a 70% ownership in called Curo Earth, which is based in Finland, but it is a global platform. The largest companies in the world rely upon us to find really high-quality carbon removal credits and suppliers of that. And I think we do an excellent job, and it's really been a really interesting area for us. It's very small.  So we don't talk a lot about it yet. But it is certainly a growth engine for us in Europe to help companies around the world manage their carbon output through high-quality industrial carbon removals, and we're also moving into nature-based car removals. So that's an area as an operator, we're really engaged in. And then we also, of course, can provide the same technology we're using for our markets to open up those opportunities for other markets, and we are engaged with other clients, some of our tech clients on their ambitions to launch these carbon offset markets. So I think you'll see more of that over time. We just -- it's very early days, though.  All right. Well, I want to say I think that's all the questions. So thank you very much for your time today. And in closing, Nasdaq's first quarter results demonstrate how we're off to a strong start in 2022, and I look forward to our continued discussions throughout the year regarding our progress. So thank you very much, and have a great day.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.